Operator: Thank you. Greetings, and welcome to Kimbell Royalty Partners' fourth quarter earnings conference call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference, as a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Rick Black, Analyst Relations. Mr. Black, you may begin.
Rick Black: Thank you, Operator, and good morning, everyone. Welcome to the Kimbell Royalty Partners conference call to review financial and operational results for the fourth quarter of 2024 that ended on December 31, 2024. This call is also being webcast and can be accessed through the audio link on the Events and Presentations page of the IR section of kimbellrp.com. Information recorded on this call speaks only as of today, February 27, 2025. So please be advised that any time-sensitive information may no longer be accurate as of the date of any replay listening or transcript reading. I'd also like to remind you that the statements made in today's discussion that are not historical facts, including statements of expectations, future events, or future financial performance, are considered forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. We will be making forward-looking statements as part of today's discussion, which by their nature are uncertain and outside of the company's control. Actual results may differ materially. Please refer to today's earnings press release for our disclosures on forward-looking statements. These factors and other risks and uncertainties are described in detail in the company's filings with the Securities and Exchange Commission. Management will also be referring to non-GAAP measures, including adjusted EBITDA and cash available for distribution. Reconciliations to the nearest GAAP measures can be found at the end of today's earnings release. Kimbell assumes no obligation to publicly update or revise any forward-looking statements. I would now like to turn the call over to Bob Ravnaas, Kimbell Royalty Partners' Chairman and Chief Executive Officer.
Bob Ravnaas: Thank you, Rick, and good morning, everyone. We appreciate you joining us on the call this morning. With me today are several members of our senior management team, including Davis Ravnaas, our President and Chief Financial Officer, Matt Daly, our Chief Operating Officer, and Blayne Rhynsburger, our Controller. We are pleased to report another outstanding year at Kimbell, marked by substantial growth in production, revenue, and EBITDA. This year yielded success from the significant acquisition we made in the prior year, which you might recall was a million-dollar acquisition that closed in Q3 2023. The portfolio has and continues to perform extremely well. As a result of this very productive year, Kimbell paid out $1.75 per common unit in tax-advantaged quarterly distributions during 2024, in addition to paying down on our credit facility. During the fourth quarter, drilling activity remained strong with 91 rigs actively drilling on our acreage, including the rigs added from the Midland Basin acquisition, which closed last month. This rig count represents a 16% market share of all rigs drilling in the Lower 48. Line of sight wells continue to be well above the number of wells needed to maintain flat production, giving us confidence in the resilience of our production for 2025. Our superior five-year annual average PDP decline rate of 14%, including the acquired production, requires only an estimated 6.5 net wells annually to maintain flat production. 2025 is off to a strong start as we closed a $230 million acquisition last month, completed a highly successful primary equity offering, and today we introduced 2025 guidance that has expected production at its midpoint at a new record guidance level for Kimbell. Finally, we believe Kimbell is well-positioned for continued growth as we continue to enhance unitholder value into the future. I'll now turn the call over to Davis.
Davis Ravnaas: Thanks, Bob, and good morning, everyone. As Bob mentioned, this is another excellent quarter for Kimbell. I'll now start by reviewing our financial results for the fourth quarter. Oil, natural gas, and NGL revenues totaled $69.1 million during the quarter, which excludes the acquired production. Including the acquired production, we had record run-rate production of 25,946 BOE per day. We exited the quarter with 91 rigs actively drilling on our acreage, which represents approximately a 16% market share of all land rigs drilling in the continental United States. On the expense side, fourth quarter general and administrative expenses were $9.4 million, $5.6 million of which was cash G&A expense, or $2.53 per BOE. Total fourth quarter consolidated adjusted EBITDA was $59.8 million, which excludes the acquired production. You will find a reconciliation of both consolidated adjusted EBITDA and cash available for distribution at the end of our news release. Today, we announced a cash distribution of $0.40 per common unit for the fourth quarter. We estimate that approximately 100% of this distribution is expected to be considered a return of capital and therefore not subject to dividend taxes, further enhancing the after-tax return to our common unitholders. This represents a cash distribution payment to common unitholders that equates to 75% of cash available for distribution, and the remaining 25% will be used to pay down a portion of the outstanding borrowings under Kimbell's secured revolving credit facility. Moving now to our balance sheet and liquidity. At December 31, 2024, we had approximately $239.2 million in debt outstanding under our secured revolving credit facility. We continue to maintain a conservative balance sheet with net debt to trailing twelve-month consolidated adjusted EBITDA of approximately 0.8 times. We had approximately $310.8 million in undrawn capacity under the secured revolving credit facility as of December 31, 2024. We remain very comfortable with our strong financial position, the support of our expanding bank syndicate, and our financial flexibility. Today, we are also releasing our 2025 guidance, which includes the incremental production associated with our latest acquisition and reflects a record high daily production guidance of 25,500 BOE per day at the midpoint. As a reminder, our full guidance outlook was provided in the Q4 2024 earnings press release. We remain confident about the prospects for continued robust development as we progress through 2025, given the number of rigs actively drilling on our acreage, especially in the Permian Basin, as well as our line of sight wells materially exceeding our maintenance well count. Lastly, before turning the call over to questions, I'd like to take a moment to recognize the achievements at Kimbell and thank our team, our board of directors, and our advisers that have all contributed to the company's success. Eight years ago this month, KRP successfully completed our IPO. Since then, we have now grown production from 3,116 BOE per day to 25,946 BOE per day, an increase of 733%. As evidenced by our track record of ongoing acquisition, we expect to continue our role as a major consolidator in the highly fragmented US oil and gas royalty sector, which we estimate to be over $700 billion in size. As we have stated in the past, there are only a handful of public entities in the United States and Canada that have the financial resources, infrastructure, network, and technical expertise to complete large-scale multibasin acquisitions. We are very excited about the opportunities to expand in the future and to deliver unitholder value for years to come. With that, operator, we are now ready for questions.
Operator: Thank you. We will now be conducting a question and answer session. If you would like to ask a question, please press star one on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press star two if you would like to remove your questions from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. One moment please while we poll for questions. The first question comes from the line of Neal Dingmann with Truist Securities. Please go ahead.
Jack Wilson: Yeah. Hey. Good morning. Thank you for taking my question. This is Jack Wilson on for Neal. Maybe just to start, are there any particular basins where you're seeing an abundance of opportunity to add acreage?
Davis Ravnaas: Morning, Jack. This is Davis. We continue to look across the United States. I wouldn't target one specific basin for where we're seeing the most deal flow, other than to point out the obvious, which is that the Permian continues to be the place where the most consolidation is occurring. That being said, we're seeing opportunities across the United States. There are a few big packages out in the market right now. Some are more interesting than others, but we're certainly taking a look at each of them. But no specific basin that I would single out at the moment.
Jack Wilson: Okay. That sounds good. And then I guess maybe just from a regulatory perspective, I know there's been a lot of news flow. Have you been seeing that in kind of the opportunities present, or is that more just still headlines?
Davis Ravnaas: Can you please expand on the question, please?
Jack Wilson: So just, you know, the new administration has been discussing a lot of potential regulatory changes. Have you been seeing that affecting you at all, or is that more just still in the headline?
Davis Ravnaas: No. Not at all. Other than to say, you know, obviously, the new administration has been very supportive of increased energy output here domestically, and that would obviously benefit us as a mineral owner across our very diverse footprint.
Jack Wilson: Thank you very much.
Davis Ravnaas: Thank you.
Operator: Thank you. Next question comes from the line of Tim Rezvan with KeyBanc Capital Markets. Please go ahead.
John: Hi. Good morning. This is John on for Tim. Thanks for taking our questions.
Davis Ravnaas: Morning, John.
John: Morning. Can you just talk about what you're seeing across your footprint that led to a 2025 guide below your, call it, pro forma fourth quarter run rate? And how would you frame the quality of the acquired assets compared to the rest of your portfolio? Just we saw line of sight wells increase following the acquisition, so we just thought we might see a little bit of growth this year.
Davis Ravnaas: Yeah. So our guidance does imply that growth is likely, if not probable, to occur. If you look at our exit run rate, including the acquired production, we're almost dead on the midpoint of our 2025 guidance. We've put guidance at a midpoint, which reflects flat growth for the year. I think that's in line with what most of our peers, both in the mineral and in the working interest space, are looking at. We like to be conservative with our guidance. Our guidance for 2024 was just slightly less than actual realized volumes from last year. So having done this for quite some time, we continue to improve and refine the way in which we put out that guidance. So we feel great about our guidance for 2025. We have a better line of sight inventory than we ever have. Our inventory in the future on a long-term basis is as strong as it ever has been as well. We have 91 rigs operating on our acreage, about 50 of those in the Permian Basin. After that, the Mid-Con is the most meaningful contributor in terms of activity. So I feel very good about both near and long-term catalysts for growth on our acreage.
John: And the acquired assets, the second part of your question, outstanding acquisition. Couldn't be happier with the board assets that we bought. Anyone who knows that property loves it. It's a wonderful asset. There's a continuous drilling clause on it that ensures development by its largest operator, Conoco, in the near future. Quite medium-term future, frankly. So feel very good about that. We think that'll be a really nice keystone asset in our portfolio that will bear fruit for years to come.
John: Okay. Great. Appreciate the details. I can just give an update as to whether you'd still plan to redeem a portion of your preferreds in the second quarter. And if an acquisition opportunity, say, in the next couple of months were to present itself, would you consider redeeming those?
Davis Ravnaas: Yeah. So the plan is to take out about half of the Apollo pref in May. We are on track for that right now. I think we've alluded to that the last couple of quarters in a row. So that's still on track. That'll be about half of the overall balance. As acquisitions present themselves, we, of course, look and consider all possible financing options for those. So I don't think that the acquisition framework in our timeline is in any way affected by the redemption of the prefs. And we look forward to simplifying the balance sheet and reloading for more acquisitions in the future.
John: Okay. Great. Appreciate it. I'll hit it back.
Davis Ravnaas: Thank you.
Operator: Thank you. Next question comes from the line of Noah Hungness with Bank of America. Please go ahead.
Noah Hungness: Hi, everyone. For my first question, I kinda wanted to expand on the pref a little bit. Once you guys do pay down about half of the pref in May, how should we think about your plans to kinda pay down the rest of the pref?
Davis Ravnaas: Yeah. Great question. Thank you, Noah. We will continue to use 25% of our cash flow going forward to pay down debt on our revolver. And then we'll continue to draw down on our revolver to incrementally take out portions of the prefs going into the future. So it's a pretty easy process. And as you know, we've gone through this before. We have a long history of paying down debt and shoring up the balance sheet and then looking at acquisitions and financing those at the right mix of equity and debt that keeps our leverage at a level that doesn't threaten the dividend under any sort of draconian scenario. So, yeah, that's the game plan.
Noah Hungness: Just kinda one clarification question. As you guys do pay down debt and you have extra capacity on your revolver, should we think of you paying down the pref in large chunks like you would be doing in May, or would it be a more ratable pay down?
Davis Ravnaas: I would say more ratable absent a meaningful, you know, equity-driven accretive acquisition that would be deleveraging in nature. So if you look back to our history, we've done a good job, I think, of using our units to make accretive acquisitions without increasing leverage on the balance sheet and, in fact, have delevered through that process. And if that were to occur, then obviously that would accelerate the rate at which we would imagine redeeming the remaining preferred balance.
Noah Hungness: Makes sense. And then for my second question, just kinda comparing your 2024 guidance for the marketing and other expenses versus your 2025, it does seem like it's moved down about $0.20. Could you kinda talk about the moving parts there that drove that lower?
Davis Ravnaas: Sure. I'll turn that over to Blayne Rhynsburger, our Controller, who can give you a more detailed response.
Blayne Rhynsburger: Yeah. It typically moves a little bit depending on commodity prices. And so marketing and other, the way that different operators put that on the checks that we actually receive varies. And so it moves a little bit. So I would say that, you know, we were being overly conservative probably in prior guidance. And I would say that the current guidance that we have out there now is reflective of what we think is gonna be it going forward.
Noah Hungness: Makes sense. Thanks.
Blayne Rhynsburger: Thank you.
Operator: Thank you. Next question comes from the line of Derrick Whitfield with Texas Capital. Please go ahead.
Derrick Whitfield: Thanks, and good morning all. Good morning, Derrick. With my first question, I wanted to lean in on the competitive landscape for M&A. Given the more constructive natural gas backdrop we have, does that change your relative focus or amount of attention you're providing to the gas basins?
Davis Ravnaas: It's a great question. The short answer is no. We try not to take a position on commodity price movements one way or the other. We're more focused on finding high-quality properties that can be acquired at reasonable prices. So, you know, we are not, you know, obviously, the natural gas tailwinds are not lost on us, but I wouldn't say that we're refocusing efforts on more gas-heavy properties right now just because natural gas prices are higher in nature. In fact, I would argue that we should perhaps be doing the opposite in focusing on oil properties when prices are lower. So we'll look at everything, and it really just depends on asset quality and valuation, and we try to remain impartial and agnostic to commodity price. We look at the strip.
Derrick Whitfield: Makes sense. And then given the considerable M&A that we witnessed across the Permian, and I'm thinking about it more from a working interest operator perspective, I wanted to ask for your thoughts on the impact it could have on your business both from a consolidated operator perspective and also from a competitive perspective, given that many of these operators are also competing for minerals.
Davis Ravnaas: Yeah. We do see operators compete from time to time. I would say that it's generally rare. I mean, there are a few examples out there. And when they are competing, it's traditionally for very large packages. So it's a good question, but we haven't seen a whole lot of competition in the, let's call it, $50 to $300 million range, $100 to $300 million range from operators just because it's so small for them. It's not very meaningful. And I'd add to that that consolidation for us, if we look back across our, you know, what, almost 30 years of doing this, there's always some friction when M&A occurs, but between operators and what does that mean for development on our assets? But I'd say overall, it tends to be a net positive. You have larger companies with better balance sheets. They now have a larger acreage footprint where they can organize their drilling schedules in such a way to be even more efficient. So overall, consolidation, when we look back over time, creates some short-term noise, but longer-term, it almost always results in a positive outcome for mineral owners, ourselves.
Derrick Whitfield: Very helpful. Thanks for your time.
Davis Ravnaas: Thank you.
Operator: Thank you. Next question comes from the line of Paul Diamond with Citi. Please go ahead.
Paul Diamond: Thanks, Paul. Appreciate you taking my call. Staying on the M&A dialogue, as we think about the appetite, you know, as you guys have grown bigger, obviously, the deals have gotten bigger. But then there's been some kinda sizable swings taken, I guess. How should we think about your opportunity set going forward? Should we think more in those $50 to $100 million deals, or whether you're increasing scale, equipping 25,000 barrels a day, does that, you know, should that grow linearly, or will you take some bigger swings?
Davis Ravnaas: No. Thanks for asking that question. It's very thoughtful, and it's something that obviously isn't lost on us. We really are focused on larger acquisitions. I think the concern we have with doing a handful of smaller deals is that you can't structure a meaningful equity deal around something like that. And so you end up kinda casually leaning into a revolver quarter over quarter with smaller deals, and they start to add up, and it just increases leverage over time. So I would say that our focus is on $100 million-plus deals. I think we could swing higher if we found the right opportunity with the right ownership group, used a mix of equity and leveraged Neutron, our revolver, to finance it. That's been a recipe that's worked quite well for us over time. But you're right. I mean, we have gotten larger, and so I would say in tandem with that, the opportunity set available to us has grown in terms of acquisition size. And then I guess I'd further add to that that as the mineral space just continues to consolidate, the size of the deals just keeps getting bigger and bigger. I mean, gosh, when we were just newly public back in 2017, you rarely saw a mineral and royalty deal over $50 million in size. But now there are seemingly dozens of deals that are $100 million-plus in the market at any given time. So as the consolidators have grown, they've attracted more institutional capital into their private space, and that simply resulted in more and larger opportunities going up into public hands. So it's a really nice theme to see, and I think we're still very early on in how this plays out. I mean, when you look at the overall mineral market size of $700 billion, just a very small percentage of that is captured by the public market. So this is a trend that we expect to continue to snowball.
Paul Diamond: Understood. I appreciate the clarity. And then just one more bit of a wonky question. So if I look at the table on your release between gross DUCs and gross permits, the ratio seems pretty stable outside of the notable kind of weakening in Haynesville. Should we, is that a decent read-through to think about as far as, you know, production growth or sustainability? Haynesville is not just on your app, or your operations, but on kind of the larger basin, or is that the wrong way to read through that?
Davis Ravnaas: No. I wouldn't read through too much on that. We start to notice a significant trend on that particular basin, that would be something that would be more meaningful to us. But, no, that ratio of DUCs to permits, it tends to go up and down over time. Still very bullish about the Haynesville, obviously, and, of course, in this new natural gas price environment, it's a very bullish place to be. But I wouldn't overly read too much into the ratio of DUCs and permits. That could easily change quarter over quarter.
Paul Diamond: Got it. Appreciate the clarity. I'll leave it there.
Operator: Thank you. As there are no further questions, ladies and gentlemen, we have reached the end of the question and answer session. I would now like to turn the floor over to the management for closing remarks.
Davis Ravnaas: We thank you all for joining us this morning, and we look forward to speaking with you again next quarter. This completes today's call.
Operator: Thank you. This concludes our today's teleconference. You may disconnect your lines at this time. Thank you for your participation.